Operator: Ladies and gentlemen, thank you for standing by and welcome to the Evolution Mining December 2017 quarter results teleconference. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note that this conference is being recorded today, Tuesday, January 30, 2018. I would now like to hand the conference over to your host today, Mr. Bryan O'Hara, General Manager, Investor Relations. Thank you sir, please go ahead.
Bryan O'Hara: Thanks, Eddie. Good morning and welcome to the Evolution Mining December 2017 quarterly conference call. This morning on the call, we have Jake Klein, Executive Chairman; Lawrie Conway, CFO and Finance Director; and Glen Masterman, VP Discovery and Chief Geologist. Lawrie Conway will provide comment on both the operating and financial results for the quarter ahead of Bob Fulker, commencing in his new role as Chief Operating Officer in a fortnights time. Investors in the commodity sector have generally enjoyed a good start to 2018. Synchronized global growth, a declining U.S. dollar and the apparent return of global inflationary pressures have all contributed to higher commodity prices. Gold has also performed well since the mid-December Fed rate hike and U.S. dollar gold price is currently trading within a few percent of full [Ph] year highs. With this renewed interest in gold, it’s timing that we have a busy month of investment engagement ahead with the release of their half year financials on the 15th of February, followed by a roadshow in London and conferences in Sydney, Freemantle and Miami towards the end of February. Thank you. And I’ll now hand you over to Jake.
Jake Klein: Thanks, Bryan, and good morning everyone. Thank you very much for joining us. We know it is a busy morning today. This is a great quarterly, another one from Evolution. As most of you on the call know, since Evolution was formed in November 2011, we have had a very clear strategy of developing a low cost profitable, dividend paying globally relevant mid-tier gold company that will prosper us through the gold cycle. I am very proud that again this quarter we are clearly demonstrating that we are executing this strategy very successfully. This is the third consecutive quarter that we have delivered over A$200 million in operating cash flow, noting that this is the first quarter without Edna May’s production. Our all-in sustaining cost -- after all sustaining and major capital spend we generated a A$134 million in net mine cash flow this quarter. Our all-in sustaining cost per ounce is sector leading at A$784 an ounce and in U.S. $602 an ounce. These are very low cost numbers that would rank favourably in any comparison. Very importantly, these low cost numbers are being converted to cash on our balance sheet, which increased by A$130 million in the three months under review. Lawrie, Glen and I were at Cowal ten days ago, and it was fantastic to see that our A$40 Float Tails Leach project that will improve recoveries by between 4% and 6% is on budget and scheduled. And that the stage H cut backs, which extends the mine life of this wonderful asset out to 2032 is also progressing on budget and schedule. It would be wrong not to highlight the formidable cash flow that Ernest Henry is generating for us. This quarter, A$55 million, that’s all through all cap flow and other associated costs with the assets. Last quarter this number was A$53 million and at current copper and gold prices this annualizes to over A$200 million. It’s also worth bearing in mind that Ernest Henry has a 10-year reserve life and additional discovery potential beyond this. Likewise, Mt. Carlton had another fantastic quarter and generated almost A$34 million of net mined cash flow. If you are going to upgrade guidance on assets then the one you most want to upgrade or your lowest cost, longest life assets. So it is great that today we are guiding that Cowal, Ernest Henry and Mt. Carlton are all likely to achieve production at the upper end of the original FY'18 guidance and that these ounces will be delivered at/or below the lower end of their cost guidance. This is a company in great shape, but at Evolution we believe there is more, more efficiency gains, more productivity gains and more ounces to be discovered. Our new CLO, Bob Fulker who in his prior role led OZ Minerals to their operational success will officially join Evolution on the 12th of February. Bob has a great platform to build on with our group of excellent general managers and I know he is looking forward to this challenge. With that, I will hand over to Lawrie.
Lawrie Conway: Thank you, Jake and good morning, everyone. Today I’ll cover off on the operational and financial performance of the business for the December quarter. Next month, we will release our half year financial result at which point we’ll provide more detailed analysis on the financial performance. The summary of the operational performance is provided on page 5 to 7 of the quarterly report. Firstly on safety, we’ve seen how lost time and total recordable injury frequency rates reduced in the last quarter to 0.4 and 6.2 respectively. Our highlight is that Cracow has now passed 1,600 days or over four years without loss time injury. Across the business we are focussing heavily on improving the safety, culture where individuals take more accountability for their safety and that of their colleagues. To complement this work on the cultural aspects, a major project implementing critical control plans through our top 10 principal hazards is underway. Operationally, the results for the December quarter were very pleasing, and again highlights the benefits of having a diversified portfolio of assets. We delivered over 186,000 ounces at a record low all-in sustaining cost of A$784 per ounce generating A$204.7 million in operating cash flow and net mined cash flow of A$134.2 million. At Cowal we produced over 62,000 ounces at an all-in sustaining cost around A$850 per ounce. Lower plain grades from Stage G were offset by higher throughputs and recoveries. Improvement work in the processing area has delivered record throughput rates for the quarter and the half year. Mining activities in the second half of the year will continue in Stage G for ore or Stage H waste stripping will be at full capacity. Processing improvement delivered over the last ix to nine months are expected to continue in the second half. Cowal is tracking to be at the top end of the production guidance. All project activities related to the Stage H cutback and the Float Tails Leach project remain on track in terms of cost and time. Capital investment on these projects will ramp up as per project plans in the second half of the year. Mungari produced 28,000 ounces at an all-in sustaining cost of A$1288 per ounce. The lower production was driven by lower grades of White Foil and lower plant throughput which was impacted by weather and power interruptions. These were partially offset by higher grades at Frog’s Leg and higher recoveries. The lower production and higher sustaining capital more a timing effect between the September and December quarters were the main drivers to the higher all-in sustaining cost. Higher grades and recoveries in the second half of the year expected to see production back up to the 30,000 ounce to 35,000 ounce range for the next two quarters. Mt. Carlton had another outstanding quarter delivering just under 30,000 ounces at an all-in sustaining cost of around A$500 per ounce. Mining in the high grade western zone area saw a strong positive grade reconciliation. In addition to the grade performance, the optimization process of the process plan saw recoveries improve in the December quarter with further improvements expected in the second half of the year. Pleasingly the gravity circuit is generating higher volumes of Doré and the outlook is for this to increase again in the March quarter. If these improvements are achieved the circuit will have repaid the A$4 million project investment within 12 months. Process grade in the second half of the year is expected to be to A$5 to A$5.5 grands per tonne. With the good performance year-to-date and with the grade forecast to be above plan for the second half, Mt. Carlton is expected to be at or above the top end of the production guidance. Given this outlook, we have taken the opportunity to accelerate the capital waste to be mined in Stage 3B and to mined less ore in the second half. Mt. Rawdon had a difficult quarter with weather impacting on mining in the pit and a ball mill motor failure resulting in an unplanned eight day plan shutdown. Despite these negative factors, Mt. Rawdon’s result was similar to the September quarter with 21,418 ounces produced at approximately A$1050 per ounce. In the March quarter, the mine will focus on the waste stripping in the western area while higher grade ore will be accessed from Stage 4 western and northern lower benches. Performance is expected to improve in the second half of the year with production to be in excess of 25,000 ounces in each of the next two quarters. Cracow’s production while lower than the last quarter was in line with plan at 20,215 ounces at an all-in sustaining cost of A$1237 per ounce. Grades in the March quarter are expected to increase with the commencement of production from the Coronation ore body and Kilkenny and Empire stopes. Importantly, for Cracow we have seen successful drilling results which should be able to deliver extensions to the mine life. Ernest Henry had another excellent quarter with just under 25,000 ounces of gold and over 5,400 tonnes of copper produced at a record low all-in sustaining cost of negative A$627 per ounce. The asset is now expected to deliver the top end of production guidance and should copper price levels be sustained, unit cost will be well below the bottom end of guidance. Turning now to the financial performance on pages eight and nine of the report. On the back of the excellent operational performance, the financial performance of the company continues to strengthen. On a like-for-like basis, excluding Edna May, the A$204.7 million of operating cash flow was in line with the September quarter. Revenue from lower production which was down 6.5% was offset by higher metal prices with gold up 2% and copper up around 15%. On an operating cost basis, our EBITDA margin excluding Edna May now fits around 53% which is up from 49% in FY'17. All operations were again cash flow positive after meeting their capital investment commitments. We’ve invested over A$70 million with the majority of the investment being in major projects and capital development or stripping. The capital investment programs remain on plan and guidance. This resulted in a A$134.2 million of net mined cash flow. Ernest Henry delivered a record A$55 million and is on track for full-year cash flow of over A$200 million at current metal prices. Mt. Carlton was another major contributor at A$33.7 million, which it means that during the December quarter, it achieved a milestone of having repaid all initial and subsequent capital and exploration investment at that asset. At group cash flow, before the proceeds from the sale of Edna May was A$75.4 million, and this was after our payment of A$36.2 million for income tax related to the 2017 financial year. Including the proceeds from the sale of Edna May, our cash balance increased by A$113.4 million to A$163.5 million. The cash flow generated in the quarter reduced our net bank debt by 32% to A$231.5 million. Our remaining debt repayment commitment this financial year is A$30 million due in the June quarter. Gearing is now very comfortable at 9.5% and reflects the continued strengthening of the balance sheet. With that, I’ll now hand over to Glen
Glen Masterman: Thank you, Lawrie and good morning. During the quarter, we continued our aggressive drilling programs completing over 76,000 meters across discovery and results definition categories. The work focused on advancing target at Cowal, Mungari and Cracow. Recent results from Cowal continue to reinforce our belief in this highly prospective gold camp and there I say a camp also perspective for copper gold mineralisation. Step-out results released in November 2017 extended the new design of mineralisation at E41 West southward and to depth highlighted by strong intercepts in hole 2804 as shown on pages 10 and 11 in this morning’s results. Additional drilling is underway to test potential extensions in design in directions that continue to be open. We also two new and encouraging copper gold intercepts in this morning’s quarter, both results as illustrated on page – in figure 2 on page 11 and retained [ph] modest intervals of proper gold mineralisation. What is interesting about the results is they are they are vein styled typically associated with porphyry copper-gold mineralisation. We have always known that the regional geological setting hosting the E42 ore body and various satellite deposits should also be perspective for porphyry mineralisation. For example, Evolutions’ Marsden copper-gold porphyry deposit is located only 20 kilometres southeast of Cowal and occurs in similar geology. We believe the new copper gold results confirm that we indeed do have a new style of mineralisation to explore on the district. As a result, we had designed a program that will enable further delineation of the gold and mineralisation at E41 west along with developing a better understanding of the potential to discover and E43 [Ph] copper gold reserves. At Mungari, we approached completion as the first phase of infill drilling designed to test continuity as mineralisation beneath the north end of the White Foil pit. We are still waiting on the majority of results; however the early indicators are in line with their expectations. A decision to move to a second phase of closer-spaced drilling will be made when we receive full results for the program. At Cracow, underground drilling continued to produce strong results along the Coronation-Imperial-Empire corridor. Several new learning’s have been developed which emphasize the importance that closer –spaced drilling across untested gas on the main and depth [Ph] structural corridors. Figure A on page 15 nicely illustrates this point, where significant areas of the mineralised epithermal profile has not been effectively tested along stride from Kilkenny. A program of work is being implemented to address this knowledge gap. Lastly, we announced this morning that Evolutions’ recent work on the Tennant Creek joint venture took our total aggregate expenditure upto A$15. This satisfies the stage mining condition enabling Evolution to vest a 65% interest in a Tennant Creek project. With that, I would like to hand back to Jake.
Jake Klein: Thanks, Glenn. Our business strategy and approach remains the same, as it has been since we set out on this journey of building this business seven years ago. We want to build a company that prospers not only when the gold price is going up, but one that prospers through the cycle. A consistent and focus strategy that has been rigorously implemented and which we will not deviate from. Today, we are highly profitable, dividend paying, globally relevance, loss-cost mid-tier gold company. Eddie, can you please now open the lines for questions.
Q - Ranjeetha Pakiam: Hi, good morning, Jake.
Jake Klein: Good morning, Ranjeetha.
Ranjeetha Pakiam: Hi. This is Ranjeetha here from Bloomberg News. Actually I had a question – a couple of questions really which were a bit separate from Evolution. But I just to get your thoughts on global gold prices and demand if that’s all right? Firstly, on prices, we’ve seen gold price in U.S. dollars jump to the highest since 2016 last week. And do you think that gold can continue this rally and possibly hit $1,400? And secondly do you see physical gold demand picking up ahead lunar new year festival this year?
Jake Klein: I think I can answer the first better than the second one. And I suppose just to perhaps this month, Evolution really building a gold company that is somewhat independent of the gold price and that we recognize the cyclicality of the gold price. And we want to build the business that prospers through the cycle. That said, it says, though that there’s been little interest in gold over the last couple of years, but other assets and property values and stock markets have gone up materially, globally. And we do see in the last fee months an increasing interest in gold from people who have previously may not have shown lot of interest. And there is definitely a reemergence of interest in the gold space and whether that because of inflation fears starting to come up, whether it because of geopolitical concerns, gold as a safe heaven is starting to be looked at again as an inflation hedge. So I am optimistic about the gold price, but certainly not planning the future of our business on a high gold price.
Ranjeetha Pakiam: Thank you. And you're not answering the question on the demand for the New Year?
Jake Klein: I think there are experts than me to answer it. Other than that, there is always a pickup into New Year and you probably are seeing some evidence of that occurring again. But I think that relates again to the sense that gold as an active class is being relooked at by people who in the last couple of years have not really being looking at gold as a part of a portfolio or a material part of their portfolio.
Ranjeetha Pakiam: Okay. Thanks Jake.
Operator: Thank you, Ranjeetha. Your next question is from the line of Sophie Spartalis of Bank of America Merrill Lynch. Your line is open. Please ask your question.
Sophie Spartalis : Quick question on Mungari drilling, appreciate your comments on the call. I just noticed the Lady Agnes drilling was below expectation. You’ve always mentioned that its complete rebuild of the logbook, so to speak, its sort of expected timeframe would be around 12 months. Can you maybe just update us on how things are going and do you still expect sort of that work to be completed much better [Indiscernible] happening out there sort of maybe the third quarter of this year. Can you just provide an update on sort of where at for Mungari exploration drilling?
Glen Masterman: Sure. Sophie. It’s Glen here. So I’ll answer that question. Firstly, it’s probably a good place to start with where we’re at on our resource definition drilling. I think its – we’re pleased with the outcomes that we’re delivering there. So that program is ticking along as we would like. Turning to discovery, I think, it would be fair to say that sometimes it takes a little bit longer than we would like things to unfold. It’s worth noting that on previous call I’ve mentioned our search window is now a 100 to 200 meters below surface where we’re starting a very sort of low knowledge base given the sort of large historically all of the drilling has been shallow. So I think that as we sort of continue to put together the information, we’re stitching together the sort of soft surface geology which is enabling us to target. What’s rattled out over the last couple of years as we’ve been exploring on the Mungari corridor is that we’ve developed over 200 plus new targets. We’ve ranked and prioritized these. And we’ve completed drilling on 22 of those 200 targets in the last six months. And it’s a process by which -- when we cycle those each target the goal is either to advance it to the next phase of exploration and that’s all based on the results we’re receiving – and/or we kill the target and we walk away. So, we’re in that process of advancing each of these targets. And what we’re impressed by is that we still have a target-rich evolution to be exploring. So what I’m saying its – to bear with us its taking time, but we still remain encouraged by the target with.
Sophie Spartalis : And so on the 22 targets that you’ve completed, how many are advancing to the next stage versus though that you’ve had to knock back or walk away from?
Glen Masterman: About a third of those have advanced to the next stage. Then there’s about a third that we’re still sort of accessing our position on those and then a third following away.
Sophie Spartalis : Okay. And then remind me what the mine life – current mine life of Mungari is at the moment?
Glen Masterman: It’s about five to six years.
Sophie Spartalis : Okay. Fantastic. Thank you.
Jake Klein: I would just add to that. It’s Jake. I always reflect on comment that one of our board members, Tommy McKee, who's had a lot of experience in the region always says, he says, you’ve got to have a pipeline of prospects which clearly Glen and his team has delivered and you’re going to be persistent and keep drilling and we certainly feel that we we’re in the early stage of this whole process.
Sophie Spartalis : Absolutely. Okay. Fantastic.
Jake Klein: Thanks.
Operator: Thank you. Your next question comes from the line of Darren Gray from Fairfax Media. Your line is open. Please ask your question.
Darren Gray: Look, I’ve just got one simple question, a quick look at your financials on page one, what had clearly demonstrates that you’ve been very successful at reducing a C1 cash costs. And your all-in sustaining which you’ve been able to reduced quarter after quarter after quarter. I’d love to be able to do myself in my house, but I can't. So how have you done it? What are the key contributors to this performance?
Glen Masterman: Darren, I think it really goes back to the strategy which we’ve implemented as I said, for the last seven years. This is a company that was – has always have the strategy that we want a portfolio of assets, but we’re going to continue to improve the quality of the portfolio of assets. We’re going to be kind of cyclical when there are opportunities to acquire things and clearly the Cowal and Ernest Henry acquisition which were acquired a couple of years ago have had a transformative impacts on our cost base and our cash generation. And we have had the tailwind of higher copper price which has been particular beneficial with the Ernest Henry economic interest. But we have change the quality of our portfolio that now we would be – if the lowest-cost-gold producer in the world, definitely near the bottom.
Darren Gray: Okay. Thank you.
Jake Klein: I guess the analogy I’ve used this, we’ve upgraded the properties in our portfolios that we have some of the best houses in the street – in the best street.
Darren Gray: Yes. Thank you.
Operator: Thank you, sir. [Operator Instructions] Your next question comes from the line of David Cotterell from Global Mining Research. Your line is open. Please ask your question.
David Cotterell: Hello. Can you hear me?
Jake Klein: Yes. We can, David.
David Cotterell: Thanks. I had a little bit of trouble of getting on the phone there, so my apology. I’ve got a couple of questions really on the porphyry, I guess mineralisation that’s Glen in above foresaid. So could you perhaps elaborate on what you’ve got there and what potential is -- especially further to the south of Marsden? And then how do you think about that longer time?
Jake Klein: I was hoping someone is going to ask that question. Thank you, David.
David Cotterell: Thank you.
Jake Klein: Good morning, David. I think let’s sort of start by saying that it was a bit of an accidental encounter. We were stepping out on E41West expanding designer mineralisation to the south. And doing so, in a number of holes we did come across and M and C style veins with interminable porphyries. And so this has obviously change the flavor somewhat on the target. Now the intervals low-ish grade and they’re generally pretty narrow. But what has really emphasized to us that there is this other style that we need to be paying attention to, other style of mineralisation. So what we’re doing is, we’re actually going back to the drawing books and accessed the geophysics that sort of near-surface geochem from the red drilling and put together a programs that would till target a source for this sort of porphyry style mineralisation. So what we think we need to find is really a standard of gravity and right now it doesn’t appear to be that. So with the program we’ll just keep following on from the results as they come in to really assess the full potential for what we might have been.
David Cotterell: Okay. So I think your memory knows there’s a lot of drilling to the south that had a little tough porphyry mineralisation, but I’m not sure how much of that data you guys still have? How much – I mean, since when you say, the next phase of drilling, what do you think about in terms of a program?
Glen Masterman: Well, we’ve just approved additional budget account to actually expand the drilling program. So probably that’s allocated to some more resource definition, but the other piece is related to stepping out on not just the gold mineralisation, but exploring further copper gold as well. We have access to all that information from north sort of to the south and that’s more -- we’re talking more along the lines of regional prospects here. We haven’t really done much to develop those since we’ve – since we were handed the keys of Cowal. Our focus has largely been on expanding the reserve and extending mine life, but we’re now turning the to the district and we’re going to really apply what we’re learning close to Cowal, including this porphyry style to enable us to be more effective in the district. And that will start with really an assessment of some of the targets prioritize and we’ll rank and prioritize those, then we’ll explore them in the coming year or two. One of the things that we’ve done is we’ve actually split the geology department at Cowal and dedicated a small Discovery team with its own manager to drive this program, so that we can actually built some momentum in the next couple of years to really deliver in this space.
David Cotterell: Right. Okay. And is that step that’s what you haven’t that in any of the other operations in terms of splitting the team?
Glen Masterman: It’s actually a model that we’ve replicated from Mungari.
David Cotterell: Right. Okay. Excellent. All right. Thank you very much.
Jake Klein: I mean, the one thing, David, that still astounds me is that since north left the asset, I think, sold the asset in 1992, the very little exploration work that has been done in the district is quite astounding.
David Cotterell: Yes, I guess the thing that you, what Barrick effectively build Cowal and then concentrate it on solely running it. So, I guess, I can kind of understand that though process maybe, but some different hands you guys have the opportunities of course which is great?
Jake Klein: It’s all kind of a very pleasant surprise to us, because to be honest when we acquired the assets we kind of thought that they had been well explored and then when Glen started putting in these framework holes around E41 West and we started to identify new mineralisation was well, maybe we better recheck our previous assumption that it has well explored and to our surprise, a very pleasant surprise, it is clear that the district has not been well exploded at all.
David Cotterell: So in terms of Marsden you could -- had they – they put – they wrapped a resource around that, but in terms of the way you guys see that, that’s a obviously a much longer term option post-Cowal potentially?
Jake Klein: We’re doing some work at relogging the Marsden core and we are looking a better options for Cowal. We are looking at it in this next reserve update that we do source update to see whether it fits. But it clear adds mineral inventory to the Cowal district.
David Cotterell: Okay. All right. Terrific. Thank you, Jake, thanks Glen.
Jake Klein: Hi, David. Thanks for the questions.
Operator: Thank you, sir. Your next question comes from the line Peter Kerr from the Australia Financial Review. Your line is open. Please ask your question.
Peter Kerr: Jake and team, how you’re going. Just trying to get your view on how the M&A market is looking in the gold sector at the moment? Does it feel like there’s more or less assets being shopped [ph] around at the moment compared to say a couple of years ago?
Jake Klein: Good morning, Peter. It’s a good question. I mean, my sense is and certainly an Evolution perspective, we say that we’ll at assets which are accretive to our shareholders and improve the quality our portfolio, and improving the quality of our portfolio means mine life and cost of production. We’ve also said, that really to find those assets which are going to be accretive to our shareholders you need one of two elements; one is a distressed seller and we found that in Cowal and in Barrick and Glencore, where we’re deleveraging the balance sheets and selling assets or you need a geological calls [ph] by Glen and his team that there are additional discoveries to be made over and above the mineral inventory that you’re acquiring at the time of the transaction. In terms of the former, stressed balance sheets and people selling asset; that we’re don’t see that in the sector at the moment. Most companies have repaired their balance sheets and in fact are looking for growth options. In terms of geological calls, my door is always open for Glen to come in and tell us that there is one that he wants to make. But I think the reality is that the opportunity in the M&A space in our view is less than it was a couple of years ago when we were kind of cyclical and we were very aggressive in spending over A$1.5 billion in acquiring assets and changing our portfolio. And in fact last quarter you saw us divest of an asset Edna May, which we though was an opportune time to put in the hands of a smaller company and get good value for it.
Peter Kerr: Okay. Thank you. If there any particular interest in the sector coming from any particular nation; obviously the North American guys went through that phase three four years ago when I left then you guys at northern staff, picking up a lot of assets. Do you sense North American miners have no interest in Australia or they looking back here or China is bias particularly interested or anything like that?
Jake Klein: I think that we’re looking back here and it was a little bit of remorse, but with too much scar tissue still evident to be interested in engaging again.
Peter Kerr: Yes. No problem. Thank you, guys.
Jake Klein: Thanks, Peter.
Operator: Thank you, sir. [Operator Instructions] There are no further questions at this time. Please continue gentlemen.
Bryan O'Hara: Thanks Eddie. Thanks everyone for joining us, obviously with the last two quarters of results, we are looking really forward to speaking to you again on the 15th of February when we release our half year results. Thanks for joining the call. We know it’s busy and appreciate your interest. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating, you may all disconnect. Thank you.